Operator: Thank you for joining us for Navios Maritime Partners Fourth Quarter and Full Year 2021 Earnings Conference Call.  With us today from the company are Chairwoman and CEO, Ms. Angeliki Frangou; Chief Operating Officer, Mr. Stratos Desypris; Chief Financial Officer, Ms. Eri Tsironi; and Executive Vice President of Business Development, Mr. George Achniotis. As a reminder, this conference call is being webcast. To access the webcast, please go to the Investors section of Navios Partners website at www.navios-mlp.com. You'll see the webcasting link in the middle of the page, and a copy of the presentation referenced in today's earnings conference call will also be found there. Now I will review the safe harbor statement. This conference call could contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 about Navios Partners. Forward-looking statements are statements that are not historical facts. Such forward-looking statements are based upon the current beliefs and expectations of Navios Partners management and are subject to risks and uncertainties, which could cause actual results to differ materially from the forward-looking statements. Such risks are more fully discussed in Navios Partners filings with the Securities and Exchange Commission. The information set forth herein should be understood in light of such risks. Navios Partners does not assume any obligation to update the information contained in this conference call. The agenda for today's call is as follows. First, Ms. Frangou will offer opening remarks. Next, Mr. Desypris will provide a Navios Partners operational and fleet update overview. Next, Ms. Tsironi will give an overview of Navios Partners financial results. Then Mr. Achniotis will provide an industry overview. And lastly, we'll open the call to take questions. Now I turn the call over to Navios Partners Chairwoman and CEO; Ms. Angeliki Frangou. Angeliki?
Angeliki Frangou: Thank you, Daniella, and good morning to all of you joining us on today's call. I am pleased with our outstanding results for the fourth quarter and full year of 2021. During Q4, Navios Partners recorded revenue of $268.1 million, adjusted EBITDA of $156.6 million, adjusted net income of $121.8 million. And for the full year of 2021, Navios Partners recorded revenue of $713.2 million, adjusted EBITDA of $426.5 million and adjusted net income of $364.1 million. Please turn to Slide 3. In 2021, we reimagined what a public shipping company could be like and took actions to make this a reality. Today, Navios Partners is not only one of the leading U.S. publicly listed companies based on the number of vessels, but is also diversified across 15 vessel types in 3 segments, servicing more than 10 end markets. About 1/3 of our fleet operates in each dry bulk, container ship and tanker segments. We will discuss why we believe that this new structure offers a stronger, more resilient entity. Slide 4 presents some recent segment data. Navios Partners fleet of 146 vessels has an average age of 9.6 years and a loan-to-value of 32.5%. We have built $2.7 million in contracted revenue, of which $2.2 billion is from the container sector. Of approximately 47,000 available days, almost half are exposed to market rates. This provided upside through recovering charter rates in the dry bulk and tanker market, which we expect in the near term. Slide 5 summarizes the basic principles behind the strength of our diversified platform. Number one, a diversified platform allow us to optimize our chartering strategy. Fundamentally, this means that we can consider long-term charters in segments that offer attractive returns, while allowing vessels in underperforming segments to be chartered for short term or at index rates. Diversification allows the luxury of managing a chartered policy to our benefit without any balance sheet compulsion. Number two, the segments have some countercyclicality building. This creates the opportunity of redeploying the strong cash flow from performing segments into asset purchases in underperforming segments where we believe attractive acquisition opportunities exist. Ultimately, we believe that this allows for optimal capital allocation. Number three, asset values themselves can be volatile. We have seen a significant appreciation in the container sector recently and have lived through significant depreciation of asset values in the past. We expect this will continue. Leverage rates can remain low or if asset values cooperate, and we believe that by diversifying our asset base, the balance sheet impact of asset value volatility will be muted. Consequently, our balance sheet strength will be generating the impact from this diversity of assets. Together, the diversification creates a resiliency in the overall business model. Each segment works independently to mitigate volatility from the other segments. While we don't expect this to work perfectly, we think that it will reduce volatilities efficiently to allow us the latitude to leverage market opportunity because the overall structure is inherently more stable. We will have flexibility in our operational and financial activities and decision-making process as we charter, sell and purchase vessels and obtain debt finance within this context. We believe that the net result is that we should have more predictable entity-level returns. On Slide 6, we've drilled down into how we optimize our chartering. As you can see from the chart on the top right, the Container segment is enjoying historically high charter rates. Operating in this backdrop, we have opted to fix our Container fleet on long-term charters, with almost 100% of our available containership days fixed for 2022. This reduces market and residual risk for these vessels. We manage the credit risk of our long-term charters independently to ensure that we are not simply trading one risk for another. In our Dry Bulk segment, we benefit from a market where rates are recovering to their historical 20-year averages. We have fixed only 24% of our available Dry Bulk fleet base for 2022 and have opted to give 76% of our 2022 available days exposed to market rates to capture any available upside. Our chartering strategy also allow us to fix our Dry Bulk fleet on long-term charters when rates do improve. Lastly, within Tankers, current charter rates are 80% below their 20-year average levels. We have 46.8% of our 2022 available Tanker days fixed, many with favorable legacy charters. We anticipate running this fleet on market rates until we see some healthier rates that will allow us to consider other options. We expect our Tanker fleet will generate strong returns once the market recovers. It can't help but to observe that we will have the luxury of patiently awaiting for the recovery given the strength of our other segments. Slide 7 details are approach to capturing the unique opportunity of each segment. NMM made $1 billion investment in 18 newbuilding vessels that will deliver to our fleet through 2024. Of this acquisition, we use the gathering strength of the Container market to acquire 10 container ships. We hedged our financial investment by entering into long-term credit-worthy charters for these vessels. We also engaged in the routine and continuous management of our fleet age profile in the Dry Bulk and Tanker space. Seven dry bulk vessels and one VLCC were acquired at prices below their long-term averages. In our Containership segment, we renew our fleet by acquiring 10 5,300 TEU newbuilding containerships for approximately $620 million. The current market value of these vessels is estimated at $720 million. These 10 containerships will earn about $710 million in contracted revenue for the 5.2 years duration of the related charters. We also capitalized on the strength in containership values by selling 2 16-year-old vessels for $220 million. The sale was executed at historically high values and is expected to be completed in the second half of 2022. Moving on to our Dry Bulk segment. Fleet expansion was executed at attractive prices. And as you can see, Navios Partners, $332 million investment in 7 newbuilding vessels ordered when vessel values were challenged in the first half of 2021 is worth approximately $372 million to date. Lastly, for the Tanker segment, we are seeing a dichotomy in asset values versus charter rates, whereby values anticipate a recovering charter rate market. In fact, our newbuilding VLCC vessel has already appreciated 36%. Slide 8 lays out how Navios Partners intends to counter volatility existing in specific segments. Navios Partners' diversified asset portfolio provides balance sheet stability from the idiosyncrasies of specific sectors. As you can see from the chart on the slide, Navios Partners fleet in aggregate is currently valued at approximately $5.2 billion. While containership values are at a historical high, Dry Bulk vessel values are only 25% of their all-time high, and Tanker values are about 40% of their all-time highs. This variation in asset values balances out through our diversified segment and result in a 32.5% loan to value for Navios Partners on December 31, 2021. As you can also see from the chart to the bottom left, NMM has about $3.5 billion in net equity value in these vessels. Slide 9 reviews our recent developments. During the fourth quarter, Navios Partners generated $268.1 million in revenue, $156.6 million in adjusted EBITDA and $121.8 million in adjusted net income. For the full year of 2021, Navios Partners generated $713.2 million in revenue, $426.5 million in adjusted EBITDA and $364.1 million in adjusted net income. The P&L is healthy, and Navios Partners balance sheet remains strong. As of December 31, 2021, we have about $170 million in cash. The size of our balance sheet cash has a number of considerations, including capital commitment for new vessels and working capital for the fleet. Consequently, I will expect that we will hold considerably more than our current cash balance. Considering only working capital for our fleet size, we estimate an approximate cash balance would be about $2 million per vessel. Leverage is 32.5% LPV as of December 31, 2021, and we have a target debt maturity profile. As an update to our S&P activity since the fourth quarter of 2021, we agreed to acquire 5,300 TEU newbuilding containerships, with the deliveries expected in 2024 for $251.3 million; 2 16-year-old containerships for 2020, $220 million, with a closing expected in the second half of 2022. An update to our chartering activity. We secured new long-term charters for 11 of our containerships that we expect to generate $670 million in revenue as follows. About $290 million through the 4 5,300 TEU newbuildings containerships chartered out for an average period of 5.3 years at an average net rate of $37,282 per day and about $380 million to 7 $2,750 to 4,250 TEU containerships chartered out for an average period of 3.3 years in an average net rate of $45,927 per day. We continue to take advantage of robust market. Navios Partners had $2.7 billion in contracted revenue. For 2022, our contracted revenue already exceeds forecasted expenses by almost $50 million. Moreover, out of 46,905 available days, 21,966 of these days are exposed to market rates, allowing for significant potential cash flow generation. At this point, I would like to turn the call over to Mr. Stratos Desypris, who will take you through the next few slides. Stratos?
Stratos Desypris: Thank you, Angeliki, and good morning all. Navios Partners is differentiated by significant leading scale and diversified sector exposure. Slide 10 details our strong operating free cash flow potential. Currently, we have contracted 53.2%, or about 47,000 available days, at an average rate of $20,957 net per day. For 2022, our contracted revenue exceeds total cash expenses by almost $50 million, and we still have about 22,000 days with market exposure that can provide additional operating cash. The majority of our market exposure comes from our dry bulk vessels where we will have fixed approximately 24% of our available days. On Slide 11, you can see our fleet profile. 2021 was a transformational year for Navios Partners. Our fleet increased by 170% by entering into new segments and expanding our presence in the segments we were already operating. More specifically, we increased our dry bulk fleet capacity by 36% and our containerships by 370%. Additionally, we entered into the Tanker segment by acquiring a 45-vessel tanker fleet. We have also been very active in renewing our fleet and reducing its average age. Since 2020, we have reduced the average age of our dry bulk fleet by 18% and our containerships by 31%. The renewal process required some balancing efforts. We'd like to be proactive and capture cyclical opportunities, while allocating capital. As you can see at the bottom of the slide, we have 21 vessels that are over 15 years of age, while, at the same time, we have 18 newbuilding vessels to be delivered from the third quarter of 2022 through 2024. Turning to Slide 12. You can see some recent updates. We continue to secure long-term employment for our containerships, and we have fixed 11 vessels, creating approximately $670 million in contracted revenue. More specifically, we have contracted 4 newbuilding containerships delivering in 2024 for over 5 years with an average rate of $37,282 net per day, generating about $290 million of contracted revenue. These vessels were acquired for an aggregate purchase price of $251.3 million. We have also chartered our 7 containerships for periods between 3 and 3.8 years, generating revenues of approximately $380 million. These charters represent a 2.8x increase compared to the current contracted rates of these vessels. On the S&P front, we capitalized on the strength of the containership by values by selling 2 16-year-old 8,200 TEU containerships for $220 million. The sale was executed at historically high prices and is expected to be completed in the second half of 2022. We have also completed the sale of a 2006 Panamax vessel for $14 million. We are constantly working on refinancing and extending maturities. We have completed our second sustainability linked financing, demonstrating our commitment to our ESG principles. Additionally, we're in advanced discussions for a new $55 million facility for the refinancing for 2 existing facilities. On Slide 13, you can see the breakdown of our $2.7 billion contracted revenue. About $1.2 billion or 45% of our contracted revenue will be end in 2022 and 2023. 81% of our contract revenue comes from our containerships, with charters extending through 2030 with a diverse group of quality counterparties. I now pass the call to Eri Tsironi, our CFO, who will take you through the financial highlights. Eri?
Eri Tsironi: Thank you, Stratos, and good morning, all. I will briefly review our unaudited financial results for the fourth quarter and the full year ended December 31, 2021. The financial information is included in the press release and is summarized in the slide presentation available on the company's website. Upon completion of the merger with Navios Maritime Containers L.P. on March 31, 2021, and obtaining control of Navios Maritime Acquisition Corporation on August 25, 2021, the results of operation of these companies are included in Navios Partners consolidated statement of operations. On October 15, 2021, Navios Partners completed its merger with Navios Acquisition. I would like also to highlight that 2021 results are not comparable to 2020. And in 2021, NMM acquired 2 companies and increased its available days by 83% to 31,884 compared to 17,430 for the previous year. Moving to the earnings highlights on Slide 14. Total revenue for the fourth quarter of 2021 was $268.1 million compared to $69.2 million for the same period last year due to the expansion of our fleet and the improved time charter equivalent rates for both containers and bulkers. The available days in Q4 2021 increased by 136.5% to 11,363 days compared to 4,805 for the same period in 2020. Our time charter equivalent rate increased by 64.1% to $23,005 per day compared $14,021 per day for the same period in 2020. The average Q4 2021 time charter equivalent achieved by sector was: bulkers, $29,548 per day; containers, $23,765 per day; and tankers, $15,426 per day. EBITDA and net income for Q4 2021 include a $3.3 million gain related to a sale of 1 vessel and a $7.6 million of transaction cost in relation to the NMA merger. Excluding these items, adjusted EBITDA increased by approximately $1.1 million to $156.6 million for the 3-month period ending December 31, 2021, compared to $35.5 million for the same period in 2020. The increase in adjusted EBITDA was primarily due to $198.9 million increase in time charters and voyage revenues and $1.1 million increase in net loss attributable to noncontrolling interest. The above increase was partially mitigated by a $47.5 million increase in vessel operating expenses; an $18.9 million increase in time charter and voyage expenses; an $8.5 million increase in general administrative expenses; a $6.3 million increase in direct vessel expenses, excluding the amortization of deferred dry dock special survey cost and other capitalized items; a $2.2 million increase in other income; and a $0.5 million decrease in equity net earnings of affiliated companies. The above increases in expenses were mainly due to the expansion of our fleet. Total adjusted net income amounted to $121.8 million compared to the 3-month period ended December 31, 2020. The increase in adjusted net income was primarily due to $121.1 million increase in adjusted EBITDA and a $30.9 million increase in amortization of the favorable lease terms. The above increase were partially mitigated by a $30.9 million increase in depreciation and amortization expenses; a $9.6 million increase in interest expense and finance cost net; a $2.4 million increase in amortization of deferred dry dock special survey cost and other capitalized items; and a $0.1 million decrease in interest income. Moving to the 12 months 2021 period. Time charter revenue reached $713.2 million compared to $226.8 million in 2020. The result was a combination of the expansion of our fleet and the improved time charter equivalent rates. As mentioned earlier, available days increased by 83%, while our fleet time charter equivalent rate increased by 73.7% to $21,709 per day compared to $12,497 per day for the same period in 2020. The average 2021 time charter equivalent rate achieved by sector was: Bulkers, $23,331 per day; Containers, $22,435 per day; and Tankers, $15,336 per day. Fleet utilization was approximately 99%. EBITDA and net income in 2021 include an $80.8 million gain in equity net earnings of affiliated companies; a $48 million bargain gain upon obtaining control of Navios Acquisition and upon completion of the NMCI merger; a $33.6 million gain related to the sale of 8 of our vessels; and a $10.4 million of transaction cost in relation to NMCI and NMA merger. Excluding these items, adjusted EBITDA increased by $326.7 million to $426.5 million in 2021 compared to $99.8 million in 2020. The increase in adjusted EBITDA was primarily due to a $486.4 million increase in time charter and voyage expenses and a $4.9 million increase in net loss attributable to noncontrolling interest. The above increase were partially mitigated by $97.7 million increase in vessel operating expenses; a $25.1 million increase in time charter and voyage expenses; a $17.5 million increase in general and administrative expenses; a $13 million increase in direct vessel expenses, excluding the amortization of deferred dry dock special survey cost and other capitalized items net; a $10.2 million increase in other expenses net; and a $1.1 million decrease in equity and net earnings in affiliated companies. The above increases in expenses were mainly due to the expansion of our fleet. Net income for 2021 exceeded as $0.5 billion whereas on an adjusted basis, it reached $364.1 million compared to $9.9 million for the year ended December 31, 2020. The increase in adjusted net income was primarily due to a $326.7 million increase in adjusted EBITDA; a $108.5 million increase in amortization of favorable lease terms recorded in the year ended December 31, 2021; and a $0.3 million increase in interest income. The above increase was partially mitigated by $56.7 million increase in depreciation and amortization expense; an $18.6 million increase in interest expense and finance cost net; and a $6 million increase in amortization of deferred dry dock special survey cost and other capitalized items. Turning to Slide 15. I will briefly discuss some key balance sheet data. As of December 31, 2021, cash and cash equivalents were $169 million. Long-term borrowings, including the current portion, net of deferred fees amounted to $1.36 billion. Net debt to book capitalization was at the comfortable level of 38%. Slide 16 highlights our balance sheet strength. Our debt is 3.5x covered by the value of our fleet based on publicly available valuations. Following the completion of the new $55 million facility mentioned earlier, we will have minimal debt maturities in 2022, while our current maturity profile is staggered with no significant value due in any single year. Turning to Slide 17. You can see our ESG initiatives. Maritime shipping is the most environmentally friendly means of transportation, as it is the most carbon efficient mode of transport. We aspire to have zero emissions by 2050. In this process, we have been pioneering and are adopting certain environmental regulations up to 2 years in advance, aiming to be one of the first fleets to achieve full compliance. Navios is a socially conscious group whose core values include diversity, inclusion and safety. We have very strong corporate governance and a clear code of ethics. Our Board is composed by majority Independent Directors and independent committees that oversee our management and operations. Slide 18 details our company highlights. Navios Partners is one of the largest U.S. publicly listed companies -- shipping companies. Our diversification strategy creates resiliency and enables us to mitigate individual segment volatility. Our diversification, scale and financial strength should make NMM an attractive investment platform as we take advantage of global trade patterns. I now pass the call to George Achniotis, Executive Vice President of Business Development, to discuss the indices section. George?
George Achniotis: Thank you, Eri. Please turn to Slide 20 for the review of the dry bulk industry. The IMF projects global GDP growth at 4.4% for 2022, led by a 5.9% expansion in China, India and developing Asia. 2022 dry bulk trade is projected to increase by 2%. Similar to last year, most of the increase is expected to happen in the second half of the year. Rates in all asset classes reached 10-year highs in 2021, reflecting strong demand for bulk commodities, aided by fleet inefficiencies due to the pandemic. The BDI peaked at 5,650 on October 7, the highest level since 2008. The market then retreated on the back of Chinese winter steel production limits and a surprising temporary ban on Indonesia and coal exports. The BDI continued to retreat at the start of 2022, falling back below 1,500 for the first time in 12 months. However, recent efforts by the Chinese government to stimulate the economy and the expectation of increased steel production, along with commencement of the South American grain export season, should provide the market up there. Turning to Slide 21. Post-pandemic stimulus measures in the advanced economies and increasing industrial protection have fueled demand for the 3 major bulk cargoes. Specifically, seaborne iron ore trade is expected to increase by in 1.2% in 2022, with second half '22 imports increasing 8.7% over the first half, as reduced pollution restrictions allow an increase in Chinese steel production. Gas prices have exceeded coal pricing since August 2021, and the trend is expected to continue. In spite of stated goals of carbon neutrality, the gas price surge has driven power plants to switch back to coal-fired power generation. Accordingly, seaborne coal imports are expected to grow by 2.4% in '22, with the same seasonal pattern as iron ore inflate. The second half '22 coal demand is expected to grow by 8.2% over the first half. On the grain side, the global grain trade continues to be supported by an ever-increasing world population, food security issues driven by the pandemic as well as increasing protein demand worldwide. Whole grain production for the 2021, '22 crop year will reach a record according to the USDA. Global grain trade has been growing by about 5% CAGR since 2008 mainly driven by Asian demand. Please turn to Slide 22. The current order book stands at 6.7% of the fleet, one of the lowest on record. Net fleet growth for 2022 is expected at only 2%. Vessels over 20 years of age are about 8.5% of the total fleet, which compares favorably with a historically low order book. In concluding our dry bulk sector view, strong demand for natural resources, combined with continued COVID-related logistical disruptions and a slowing pace of newbuilding deliveries will support healthier trade rates. Fleet growth is expected to decline further in 2023, as owners remove tonnage that will be uneconomic as the IMO 2023 CO2 rules come into force. Please turn to Slide 24, focusing on the container industry. Demand for goods in the U.S. and Europe continue to rise in the latter part of 2021, increasing both container trade and supply chain bottlenecks. At the start of 2022, freight rates are at or near record levels, allowing us to lock in long-term contracts at historically high rates. As you can see in the blue box on the lower right, increases in demand for goods, port congestion and the restocking led to containership demand growth of 6.1% in 2021, with further growth of 3.8% expected in 2022. Turning to Slide 25. Net fleet growth is expected to be 3.6% for 2022. Even with the increase in newbuilding orders, we managed forecast to outpace net fleet growth. It should be noted that about 72% of the order book is for 13,000 TEU vessels or larger. In addition, 10.3% of the fleet is currently 20 years of age or older. In conclusion, positive demand fundamentals mainly due to the change in consumer purchasing patterns and resulting supply chain bottlenecks, along with reduced fleet availability, should continue to support the containerized shipping industry in 2022. Please turn now to Slide 27 for the review of the tanker industry. Global oil consumption is recovering, although with a modest growth due to the continued pandemic disruptions. However, OPEC+ continues to increase supply by 400,000 barrels per day on a monthly basis until midyear when oil production cuts are eliminated. The IEA projects oil demand to exceed pre-pandemic levels by Q3 '22, as recovery in the travel industry spares additional fuel consumption. There is an approximate 90% correlation of world oil demand with global GDP growth, and about 2/3 of seaborne product paid is related to transportation. Turning to Slide 28. VLCC net fleet growth is projected at only 1.8% for 2022. This decline can be partially attributable to owners' hesitancy to order expensive long-lived assets in light of macroeconomic uncertainty and engine technology concerns due to upcoming CO2 restrictions. The current order book is only 7.5% of the fleet. Vessels over 20 years of age are 11.1% of the total fleet, which compares favorably with the low order book. Finally, turn to Slide 29. Product tanker net fleet growth is projected at only 0.6% for 2022. The current product tanker order book is 5.2% of the fleet, one of the lowest on record, and it compares favorably with the 7.8% of the fleet, which is 20 years of age or older. We believe that the overall tanker order book and fleet are well balanced as the IMO 2023 and ballast water management regulations will lead to some vessel retirements in the coming months. In concluding, the tanker market continues to remain challenged in Q1. However, the combination of global oil demand returning to pre-pandemic levels by midyear, OPEC+ increasing production, OECD inventories returning below their 5-year average and the lowest order book in 3 decades should provide for healthy tanker earnings in the near term. This concludes my presentation. I would now like to turn the call over to Angeliki for her final comments. Angeliki?
Angeliki Frangou: Thank you, George. This completes the formal presentation, and we'll open the call to questions.
Operator:  We'll take our first question from Randy Giveans of Jefferies.
Randy Giveans: So you've been fairly active as both a buyer and a seller here in the container S&P market. How do you view your tanker and dry bulk fleets? And how do you balance buying new assets and selling some of those older ones?
Angeliki Frangou: Very good question, Randy. This is about -- this is also the first quarter that we did as a diversified company, and what you have seen is that we are basically creating value. We took advantage of the container sector, buying newbuilding vessels, acquiring, hedging, creating cash flows that we will take total -- the cash flows be -- bring 0 residual value risk and having young assets and also creating a 5- and 7-year cash flows of over $2.2 billion. If you look now on the dry bulk, we have a very nice fleet, and we are looking at the market that will recover. So we have 75% on market exposure. Q1 is seasonally low, but we see that the market can be strong on the remaining of the year. So we can see returns, if we have returns like last year, it can create very strong cash flows. And we have the luxury because of our contracted fleet in the container sector to really get the spot market because we have covered all our expenses, and we have a $50 million positive. And really, the tanker on other side is the big jewel that -- the kind of fleet we have. We have seen that during NMA times, this kind of fleet can generate, in good years, over $200 million of EBITDA. So that can be an additional swing. Of course, we can say that Omicron and the kind of event that happened pushed the tanker recovery. And therefore, we have seen that, now, we are in a situation where we can enjoy both segments and also the tanker is a jewel. So it's all about driving NAV, which will drive our stock price. That is the big issue.
Randy Giveans: Got it. All right. That makes sense. And now I guess, the most important question, right? Your revenue backlog is massive. EBITDA is going to exceed, I don't know, $600 million, could be closer to $700 million, both this year and next. However, your current distribution is about 1% of that, right, $6 million on an annual basis. So when should we expect to see an increase to the distribution? And then secondly, as you mentioned, NAV accretion, right? Your NAV is north of $60, probably closer to $80. However, your shares are trading at $30. So why not repurchase units at these levels?
Angeliki Frangou: Listen, we are creating -- we are busy creating NAV. And unlike other companies, NAV, which is a product of the market, our NAV is the product of our activities, and you have seen us busy doing this from last year. And we have -- our stock price has been the best performing last year, not only at the stock price, but also if you take the total returns of peers. So this is an ongoing process, and it's important to take advantage of the different segments. What we did is take advantage the Container segment, where we build cash flows, we bought vessels at attractive rates and we sold that histories. So we are not shy on that. So it's about creating the growth of our cash flows. And with that, we see our stock price to follow. If we have sufficient working capital, as we have stated, and we have investment CapEx, this is not about growth for growth. It's not about number of vessels. It is about cash flow return. So if we cannot see attractive in this way, we -- of course, we will see in -- follow in -- we will follow with a different strategy of buying back. So we have a fleet of 145 vessels, more or less. You need a working capital of, let's say, $2 million per vessel. We have our investment CapEx, which you have already seen in a lot of slides. And also we are seeing that we create attractive cash flows and returns. You have seen it from our newbuilding. You have seen in how that translates to actual cash flows. So this is what we are doing.
Operator: We'll take our next question from Omar Nokta of Clarkson Securities.
Omar Nokta: Yes. I just wanted to ask about where you've been fairly active here recently. On the container side, first off, just want to double check. In your last quarterly report, if I recall, you mentioned having taken your newbuilding order book for the 5,300 TEUs to 6 ships, and those are fully chartered. I just want to confirm that, that order is now up to 10 ships as of today also fully contracted. Is that correct?
Angeliki Frangou: Yes, Omar. And I remember in the last call, I was thinking that, that will not be -- I was not thinking that it would be very possible to extend. But we managed to have -- we had options we managed to exercise, and we managed to totally hedge that position at even better rates and with zero residual -- with no residual value risk. So yes, we now have 10 fleet, which gives us the ability to replace also our fleet, which is a very important issue on, really, looking a fleet of vessel that have an average age. And if you have seen, we have naturally managed to reduce the average age versus the industry.
Omar Nokta: Right. Yes. I mean, definitely a unique opportunity to order these vessels against long-term charters that, as you say, basically remove the residual risk at the end of the contract. And just maybe, generally, in terms of where the market is today for further newbuildings and your appetite, could you maybe just give us some color? Because liners last year were quite active securing long-term charters against newbuildings for large and midsized ships. That seems to maybe have slowed recently, but there really is now a big focus on chartering what's available again in the market today, as you've highlighted here in your report today. Can you maybe give just some color on what you're seeing from this point on, on the newbuilding front? Are there still opportunities like the one that you've done here on the 5300s? Is there still an appetite for that? Are liners looking for that vessel class now in larger numbers? Or are they still kind of fixated on the bigger size? Or is it kind of maybe just quieted overall? Any color you can give on that front?
Angeliki Frangou: Listen, I will never say never because, as I learned last quarter, there can always be opportunities, and there is different needs on the liner. We have also seen that because they want vessels as -- in the water as possible, we have seen this part of the -- things we have seen with the liner is this historic sale that we did, I mean, the $220 million for the 16-year-old vessels that we'll be delivering in the second half. So basically, the liners want to secure vessels as soon as possible. That -- and the alliances will play in different segments. The other ones want to have ownership of the vessels, others want charters. So different models depending on the liners. And there is a strength. Of course, at one point, we have to say that the pandemic will ease and. At one point, we should have less of this kind of opportunities. But it seems that it's going very strong. Just think about the value that we sold, the 2 vessels with a market cap -- more than the market cap that we have last year in Q4 of -- in 2020 in the last quarter. So you see what kind of a powerful situation can be. But I think that the newbuildings will be less of an issue. Right now, I think there's more vessels in the water.
Omar Nokta: Okay. And maybe just a follow-up and maybe just kind of speaks to the reimagined public shipping company, at least in Navios' case with the diversification strategy. Speaking of the 8,200 TEU ships that you've sold, of $220 million, that cash starts to come in the second half. How should we think about where that capital will be redeployed? I know you touched on that in your opening comments, and I think in response to Randy's question. But as you think about that capital and maybe future sales on the older side, as you kind of replace with the new builds, the -- where do you think, right now, you want to put that capital? Does that roll into tankers and taking advantage of a depressed environment there? Is that where you see the opportunity at the moment to invest excess cash?
Angeliki Frangou: I think the issue is that the beauty of the diversification is that you can do it in every sector. This depends on the market opportunity. One thing I'll tell you is that take, for example, and I want to start again on the newbuildings on the Container segment. We are not there to take a speculative -- on where the market is, we will not take a speculative order on vessels because I think it's not prudent. I mean, you have seen the -- where the Container sector is, is in an all-time high. That will be an extremely risky business. Now the beauty is that we can always do dry bulk and tankers, and it's purely about the opportunity. It's about where you can either secure or have -- either have the upside where it can give you 4x the valuation or -- and the cash flows or the overall return. So this is what we like to do.
Operator: And we'll move next to Chris Wetherbee of Citigroup.
Eli Winski: This is Eli Winski on for Chris. Maybe we can just go back to the sales on the containership side. So 10.3% of the containerships are over 20 years old. You guys just sold 2 of them, about 16 years old. Just curious if you guys have any more appetite for sales in containership and, then going off of that, if further sales there would help play into the strategy of fuel efficiency regulation.
Angeliki Frangou: Listen, these vessels are not exiting the new sector. What I will say is that Navios takes an opportunity on the segment, and we have a strong performance of the segment. We will either sell a vessel or we charter it at a rate that will give us a better return. It's a decision we make with taking consideration of cash flows and credit workings of the counterparty or, say, that's exactly what we are doing constantly. And we care about is to cover positions that are further in the future. That is how we work our portfolio. So I mean -- and of course, what we are doing, and this is -- you can see it on our newbuildings, what we are doing? We are getting younger generation, fuel efficient vessels. So for us, this is a win-win situation. If you are able to dispose of all the vessels, less green to younger vessels, this is a win-win situation. And you are trying that to do it at any point. And basically, it's an ongoing process. If you look on our presentations, we have 18 newbuildings, while the vessels are very close to the vessel that are 15 to 20 years. So this is an ongoing process that we will be doing.
Eli Winski: That makes sense. And then I just need to ask about congestion. You guys talked about it at the top of the call, but just digging in. On the West Coast U.S., we've seen ships move downwards off the coast. Ships in transit from Asia over seems to be relatively steady. Do you think we could have reached an inflection downwards? Or is there something else that we're not thinking of right now on that side from Asia to the U.S.?
Angeliki Frangou: I think that unique -- I think that Omicron, I can get these experts that will give you all the flows of vessel. And I think when Wall Street Journal, you have shipping being in the frontline of worse general and congestion, it means it's to everyone's mind. And I'm sure there is a lot of information on that. I think the important issue that if we see in a macro level, and we have to think about, in January, we have an outbreak with Omicron that you have more sick people around the planet than from the period of the Spanish flu. So basically, that delayed the whole process. So we see that containers will continue to have a strong market and delayed the change into the consumption from services -- from products to services. That is definitely something that is playing right now, except, of course, of the geopolitical other issues that we see.
Operator: And this does conclude our question-and-answer session for today. I'd be happy to return the call to Angeliki for any concluding remarks.
Angeliki Frangou: Thank you. This completes our Q4 results. Thank you.
Operator: This does conclude our conference for today. You may disconnect your lines. And everyone, have a great day.